Operator: Hello, and welcome to the Antero Resources Fourth Quarter 2023 Earnings Conference Call and Webcast. [Operator Instructions] A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to Brendan Krueger, Vice President of Finance. Please go ahead, Brendan.
Brendan Krueger: Thank you. Good morning, everyone. Thank you for joining us for Antero's fourth quarter 2023 investor conference call. We'll spend a few minutes going through the financial and operating highlights, and then we'll open it up for Q&A. I would also like to direct you to the homepage of our website at www.anteroresources.com, where we have provided a separate earnings call presentation that will be reviewed during today's call. Today's call may contain certain non-GAAP financial measures. Please refer to our earnings press release for important disclosures regarding such measures, including reconciliations to the most comparable GAAP financial measures. Joining me on the call today are Paul Rady, Chairman, CEO and President; Michael Kennedy, CFO; Dave Cannelongo, Senior Vice President of Liquids Marketing and Transportation; and Justin Fowler, Senior Vice President of Natural Gas Marketing. I will now turn the call over to Paul.
Paul Rady: Thanks, Brendan. Good morning, everyone. I'll start my comments on Slide number 3 of our presentation, titled Drilling and Completion Efficiencies. 2023 was a transformational year for Antero as our operating performance made significant advances. Our drilling and completions teams set a number of company and industry records throughout the year. As an example, days per 10,000 feet of lateral drilled averaged 5.5 days in 2023, a decline of 14% since 2019. On the completion side, 2023 completion stages per day averaged nearly 11 stages a day, 35% improvement compared to the 2022 average and more than an 80% increase from 2019 levels. The result of these operational improvements was significantly shorter cycle times, as shown on the bottom of the page. These cycle times reflect the total number of days it takes on average from first spudding a pad to turning that entire pad to sales. Since 2019, our cycle times have decreased by an impressive 65% and averaged just 160 days in 2023, shorter cycle times means higher capital efficiency of course. In addition, our well performance continues to improve. This operating momentum is highlighted by the fact that while targeting a maintenance capital program this last year, our volumes actually grew 6% in 2023 compared to 2022. Most importantly, these capital efficiencies and well productivity gains drive a reduced maintenance capital budget. Now let's turn to Slide number 4 titled, Efficiencies Translate to Lower Maintenance Capital in 2024. In 2024, we expect production to be flat, averaging between 3.3 and 3.4 Bcf equivalent a day. Meanwhile, our drilling and completion capital is expected to be down over 25% compared to the prior year. Our maintenance capital budget midpoint of $675 million to -- is over $225 million below the $909 million that we spent in 2023. The operating efficiency gains captured in 2023 allowed us to drop one drilling rig at the end of last year and then to drop a completion crew at the beginning of this year. We now plan to average two drilling rigs and just over one completion crew for our maintenance capital program in 2024. Also contributing to our reduced capital budget is a lower base decline rate. As we enter year four of our maintenance capital program, our decline rate is substantially lower in the mid- to low 20% range. This low decline rate requires less capital to hold production flat. In addition, our land capital budget midpoint of $88 million is down over $60 million compared to 2023. In total, this will result in $275 million to $300 million of reduced capital spending compared to last year while maintaining the same production level. This significant reduction in capital highlights the high-quality asset base at Antero and the flexibility that we have. As we look ahead to 2024, these significant capital savings, combined with the recent increase in NGL prices, is expected to generate free cash flow during the year. This positive free cash flow generation is expected to occur despite being unhedged in today's challenging natural gas price environment. This positive free cash flow outlook is even more impressive when considering that the current strip is at the lowest natural gas price for any calendar year outside of the COVID year in the last 25 years. Now, to touch on the current liquids and NGL fundamentals, I'm going to turn it over to our Senior Vice President of Liquids Marketing and Transportation, Dave Cannelongo for his comments.
Dave Cannelongo: Thanks, Paul. The macro picture for NGLs has improved materially this winter due to a combination of strong domestic demand and consistently high export levels despite the challenges seen in the global waterborne shipping environment. Focusing on propane, as a result of the strong exports and winter weather, inventories have declined by 45 million barrels since October. In just a few months, propane stocks have moved from the high end of the five-year range to five-year average levels, as shown on Slide number 5. This return of propane inventories to the historical average has tightened the market and driven bullish sentiment with C3+ NGL prices as a percent of WTI increasing from 43% last fall to 57% today, driven largely by propane prices rising to above $0.90 a gallon. Slide number 6 illustrates the strengthening relationship we've seen between WTI and C3+ NGLs in recent months as Antero's NGL price has increased from $38 per barrel on average during 2023 to over $43 per barrel currently. In addition to the strong domestic fundamentals, propane exports have continued to impress. Last year was a record year for propane exports, which averaged 1.62 million barrels per day for the full year 2023, as shown on Slide number 7. 2024 has also started off strong with exports averaging 1.72 million barrels per day year-to-date, an increase of nearly 200,000 barrels per day, above the same weeks last year. These strong exports are occurring despite major volatility in global shipping routes, including restrictions on passage through the Panama Canal and rising geopolitical risks in the Middle East affecting passages through the Suez Canal and Red Sea. The Baltic LPG rate, which is a metric of the shipping cost of liquefied petroleum gas on a VLGC or very large gas carrier, increased to record levels at the end of 2023, primarily due to limitations on Panama Canal transits that resulted in shipping capacity being tied up in longer routes around the Cape of Good Hope as shown on the graph on the right of Slide number 8. However, this trend has reversed recently as the effects of the Panama Canal restrictions on LPG carriers have eased with Canal passages increasing in January, as a result of the global shipping reshuffling. Additionally, last year was a banner year for VLGC new build deliveries with 41 deliveries in 2023, as seen on the graph on the left of Slide number 8 which is more than double the typical yearly delivery. VLGC supply is expected to continue to grow in 2024 with 21 more ships being delivered. These deliveries are occurring at the right time in the market with U.S. LPG export growth and the current challenges facing global shipping that have increased transit times in altered routes. As a reminder, Antero exports over 50% of our C3+ production, skewed heavily towards propane and butane directly out of the Marcus Hook terminal in Pennsylvania and has the ability to price our barrels on international indices. Antero will benefit from the current lower shipping rates by being able to capture more of the spread between domestic and international pricing for propane and butane. Also, Antero's export volumes are not impacted by potential constraints at the Gulf Coast export docks, which are at high utilization rates with current export levels and limited capacity expansions expected until 2025. I'll conclude my remarks this morning acknowledging that with these fundamentals I have just discussed, 2024 is poised to be yet another year in which our exposure to NGL pricing will be a supportive differentiator when compared to other natural gas producers. With that, I'll turn it over to our Senior Vice President of Natural Gas Marketing, Justin Fowler to discuss the natural gas market.
Justin Fowler: Thanks, Dave. I will start on Slide number 9 titled, Growing Global LNG market. This is a slide that we have shown in the past but is updated to reflect the potential impacts from the recent pause on LNG facility approvals from the U.S. government. Regardless of the duration of this pause, we expect very little impact on LNG demand growth into the end of this decade. In fact, only three LNG facilities in our stack chart could be impacted. You see those highlighted by the red boxes. The remaining projects still result in over 10 Bcf of incremental demand by the end of 2027. This would bring the current U.S. LNG export capacity of 14.5 Bcf per day to nearly 25 Bcf per day during that time. This is a substantial demand increase that we expect to tie U.S. natural gas prices more closely to the higher international prices. Antero is uniquely positioned to benefit from these higher expected U.S. natural gas prices, particularly prices linked to LNG demand growth near Henry Hub. Next, let's turn to Slide number 10 titled, Not All Transport to the U.S. Gulf Coast is Equal. As a reminder, we sell substantially all of our natural gas out of basin, including approximately 75% to the LNG corridor. Our firm transportation portfolio provides us with direct exposure to growing LNG demand along the Gulf Coast and importantly, into Tier 1 pricing points along the LNG corridor. This slide illustrates the significant benefit in selling our gas at Tier 1 Gulf Coast pricing. Based on the current strip, Tier 1 prices reflect increasing premiums to NYMEX in 2025 and beyond, including the TGP 500 Index, which represents 30% of the 2.0 Bcf per day of Antero directed Gulf firm transportation, where premiums have increased to $0.29 above NYMEX in 2026. Antero also delivers to ANR Southeast and Columbia Gulf Onshore points, which represents an additional 60% of premium delivery that over time will also appreciate with the current LNG export buildout. Meanwhile, there are a number of peers that sell their gas in Tier 3, which is currently trading almost $0.25 back of NYMEX in both 2025 and 2026. Further, we think Tier 3 pricing could continue to widen as LNG facilities are placed in service and Tier 1 pricing pushes higher. Yellow stars on the map highlight Antero sales points, which were strategically negotiated to bring our volumes directly to the LNG doorstep. As depicted in the pie chart on the top left-hand side of the slide, Antero sell 90% of its gas at Tier 1 pricing. This compares to the average of our peers, which sell 67% of their Gulf directed volumes in Tier 2 and Tier 3 pricing. Looking ahead over the next two years as LNG export capacity increases by nearly 6 Bcf, we expect Antero sales points to be priced even higher first NYMEX at these LNG facilities as they compete for supply. The premium received at these sales points could also see further upside due to the delays on certain downstream pipelines that had previously been expected in the Haynesville by the end of this year. Delays into 2025 or 2026 would make our already existing firm transportation that much more valuable in the growing LNG market. Lastly, I would like to touch on power burn demand trends. Slide number 11 titled, Power Burn Demand Continues to Outperform. This slide illustrates color burn demand over the last 10 years. Continued coal to natural gas switching, along with higher electrification demand for everything from electric vehicles to high-powered AI data centers leads to increasing natural gas power generation demand. Despite the majority of forecast that you see, which project flat or even lower power burn demand, power burn demand in 2024 is once again outperforming expectations. We believe there has been a structural shift toward reliable, clean and affordable natural gas that will continue to increase power burn demand annually going forward. This demand growth, combined with rising LNG and Mexico exports creates a significantly higher base demand level than we have ever experienced in the past. While there are certainly near-term storage challenges, we expect these fundamentals will provide support to natural gas prices and lead to periods of higher prices in the coming years. With that, I will turn it over to Mike Kennedy, Antero's CFO.
Michael Kennedy: Thanks, Justin. First, I'd like to discuss our multi-decade inventory position. Turning to Slide number 12 titled AR Has the Largest Low Cost Inventory. This chart compares inventory positions across our natural gas peer group based on data from a third-party report. Antero has the most sub $2.75 per Mcfe drilling inventory at 22 years. It is important to note that this inventory comparison is after our peers have spent a combined $30 billion on acquisitions over the past three years. In contrast, through our organic leasing efforts, we have invested $340 million over that time to acquire targeted drilling locations within our development footprint. On average, we have been able to add locations for less than $1 million per location through this program. This is less than half of the nearly $2 million average cost per location for the peer acquisitions. In 2023, Antero organically added over 100 premium core locations at an average cost per location of less than $1 million, more than offsetting its 2023 drilling program. Next, I'd like to go a little deeper on the capital efficiency improvements that Paul touched on in his comments. The chart on Slide number 13 compares capital efficiency of the natural gas peer group or the amount of capital required to achieve production targets. Antero has the lowest capital per Mcfe of its peer group at just $0.55 per Mcfe. This is 40% below the peer average of $0.92 per Mcfe. This capital efficiency measure is important when comparing asset quality and operating capabilities of each company. The scatter plot on Slide number 14 really magnifies the peer-leading capital efficiency at Antero. This chart shows the year-over-year change in production on the y-axis and the year-over-year change in drilling and completion capital on the x-axis for the natural gas peers. These estimates are based on company guidance for those that have announced 2024 guidance and consensus estimates for those that have not. When you compare the production targets for the drilling and completion capital invested to deliver that production, we are by far and away the most capital-efficient operator in Appalachia. Let's turn to Slide number 15 titled Free cash Flow Breakeven, which summarizes the benefits of our combined capital efficiency gains and high NGL exposure. Beginning at the top left-hand side of the slide, our total capital budget, drilling and completion plus land capital is expected to be down nearly $300 million in 2024 compared to last year. Moving down to the bottom left-hand side of the slide, the 2024 NGL strip is more than $3 per barrel higher than in 2023. As a rule of thumb, every dollar change in NGL prices results in $40 million change in cash flow. Thus, higher NGL prices in 2024 drive $135 million increase in cash flow. In combination, the result is approximately $430 million of incremental cash flow in 2024 compared to 2023 from our capital efficiencies and NGL focus and more than offset the weakness in the natural gas market, even while being unhedged. Turning to Slide number 16. This slide compares free cash flow breakeven levels. Our low maintenance capital requirements and high exposure to liquids results in the lowest unhedged free cash flow breakeven price among our natural gas peers. As we look ahead, we believe Antero is best positioned to create significant shareholder value. We have product diversity as the largest NGL producer and exporter of LPG, the highest exposure of natural gas production to the LNG demand center and the lowest amount of hedge volumes, which creates substantial leverage to rising Henry Hub prices. In addition, our realized prices have basis upside due to our premium sales points along the LNG fairway. Finally, we are the most capital efficient natural gas producer in the U.S. with the lowest free cash flow breakevens. Combination of downside protection from our liquids production, a strong balance sheet and lowest breakeven price combined with the upside exposure through our takeaway to the LNG demand center, places Antero on a significant competitive advantage as we move towards the substantial increase in demand expected from near-term LNG projects. With that, I will now turn the call over to the operator for questions.
Operator: [Operator Instructions] Our first question today is coming from Arun Jayaram from JPMorgan Chase & Co. Your line is now live.
Arun Jayaram: My first question is related to LPG pricing, perhaps for Dave. Dave, I'm looking at your weekly pricing update that you provided on Monday and it shows kind of your mix between Mont Belvieu and global pricing being about a 50-50 mix. Given strength in the international market, are you -- do you have any flexibility to increase, call it, your leverage, just given the strong export trends? And if so, can you maybe quantify what that could mean for your realizations?
Dave Cannelongo: Yes. So, when we talk about that exposure, it's really on the overall C3+ barrel. I think we've talked about in prior calls. There's times even in the summer where we're exporting 85%, 90% of our propane so we do utilize that flexibility that we have with our marketing plan to do that. But no, I mean other than that, the isobutane, the pentanes, we're not exporting those products. So that's always going to stay in the domestic pool, which is why you're going to see that 50-50 relationship that you're talking about.
Arun Jayaram: And then just looking at the last pricing update, there was about a $0.04 to $0.05 per gallon delta between propane between international and Mont Belvieu. How much of the international realizations are impacted by net shipping costs? And as those net shipping costs as you show normalize, what kind of uplift could that provide?
Dave Cannelongo: Yes. So quite a bit. I mean we've seen that this year recently. You've seen the Baltic rates collapsed pretty dramatically. And so we benefited from that. I think you've seen propane today this morning trading gallons a month $0.94 a gallon. So a lot of that has been driven by the fact that the freight costs have decreased. If you look at destination pricing in Asia, you're not seeing propane price at strong levels this winter relative to naphtha, it's actually similar pricing to what we would see in the summertime. So the run-up in Mont Belvieu pricing has been really driven by the collapsing freight rates that have allowed Belvieu to rise. The other piece, I think, that we see with our portfolio is the Gulf Coast stocks, as we've talked about, are very highly utilized. And so as you move into the spring and summer season, domestic demand wanes. We think you'll see more pressure to try and export out of those facilities. And until they expand in 2025, that will be limited. And so that value premium that you get at the dock will rise and our ability to access that directly with our firm capacity out of Marcus Hook, we'll be able to take advantage of that more as well. So kind of two things working in our favor, the ability to get to the waterborne price, not just somewhat landlocked at Mont Belvieu as other producers are and then the improved freight dynamics have allowed us to benefit more than others.
Arun Jayaram: Okay. And I have one quick one for Justin. Justin, if the momentum pipeline is delayed by -- given some of the issues in terms of timing there, what kind of impact do you see to Tier 1 pricing in that Louisiana LNG corridor?
Justin Fowler: Once we start seeing the Plaquemines facility, once they start to introduce gas sometime later in this year, we would expect to see that forward basis continue to increase, keeping an eye on ANR Southeast basis. Right now, it's showing a positive first Henry and it can range anywhere from $0.07 to $0.09 over at the moment. And any of those delays that are going to bring less gas down to that Henry Hub region, we would just expect to see that base has continued to increase as more competition enters into the market with Golden Pass and Plaquemines coming on.
Operator: Our next question today is coming from Bertrand Donnes from Truist Securities. Your line is now live.
Bertrand Donnes: On Slide 12, you outlined your low-cost inventory. And I'd say a while ago, 15 years of inventory was enough, maybe it moved to 10 at 1 point. But when you're sitting at 22 years, you could split the Company in half and still not be in the running out of inventory group. So the natural question would be, is there some interest in maybe divesting some of the inventory that's at the end of the stack. And then just a broader question is, can you really get two parties to come to the table in this current gas price Contango? Or does one party just simply refuse to look to the outer years?
Michael Kennedy: Well, the first one, no, we are a consolidator of the liquids fairway of West Virginia in that 22 years. About half of it is liquids. The other half is our dry gas option, which is on the eastern side of our field. So that provides a good dry gas option, it allows us flexibility to toggle between liquids and dry gas. Liquids is obviously very accretive today. I think we get over $1.10 uplift from the liquids compared to the Henry Hub price. So we've been focused on that. So we want to continue to consolidate that. And with our scale and the liquids midstream we own and the transport, the barriers to entry are very high. So no one really could develop that outside of having those attributes. So we continue to consolidate and look to own more and more of the inventory. And on your second question, I really didn't quite understand that. On the Contango of natural gas, we're really -- let's say, more looking at the liquids prices driving the economics. So that's we look more to the liquids and the gas.
Bertrand Donnes: Yes. I was just wondering, in any negotiations you're doing maybe even on the acquiring side, are both parties able to kind of agree on the higher gas price in the future? Or does the buyer always say, I see only the near-term lower price, and I won't give you value for the outer years.
Michael Kennedy: Yes. We really haven't been in any discussions. We're focused on our organic leasing. That's where we add the most value, as I mentioned, less than $1 million per location in M&A, so over $2 million per location. So we're not really in those type of negotiations when you're doing the brick-by-brick, ground game of organic leasing, you're just dealing with leaseholders that enjoy that you develop their minerals.
Bertrand Donnes: Makes sense. And then the second question is just some of your peers are earmarking a significant amount of capital for infrastructure build-out over the next few years. And I would assume this lower full year '24 guidance doesn't have that much included into it. So could you maybe talk about how you're able to operate efficiently without that kind of overhead that your peers have?
Michael Kennedy: Yes. With Antero Midstream, we own 30% of Antero Midstream. Antero Midstream is built out this largest liquid system in Appalachia and we have all the processing and high pressure and low pressure and then the firm transport connects to that. So we've already made all those investments Antero Midstream has and they are on 30%. But Antero Midstream came out with their capital and their capital is much lower as well because it's just in time really building that last mile of low pressure in water. So we've already made all those midstream investments. It's one of the reasons we're the unconstrained E&P. We don't have midstream constraints and everything is already in the ground.
Operator: Next question is coming from Jacob Roberts from Tudor, Pickering, Holt. Your line is now live.
Jacob Roberts: We appreciate the pricing outlook you guys have given and baked into the guide. But curious, should the need arise, is there an ability to further reduce activity without running into contract issues or any other commentary on other actions that might be preferred that could further lower the capital plan for 2024?
Michael Kennedy: Yes, of course, when we construct the capital plan, the first filter is always to generate free cash flow. So we're very focused on that. We're down to two rigs from three rigs. We stacked one of our rigs, so down the two-rig program and one completion crew. We just released one of our completion crews. We made it a spot crew. That spot crew does have one pad that it is scheduled to complete in the third quarter, and that's highly flexible and dependent on liquids prices. Also natural gas prices to a bit, but more liquids prices. So, we do have the ability to toggle lower. That's about $50 million, call it. So you could definitely toggle lower than that. And today's gas prices, which is about a $2.25 strip, we're still generating free cash flow. So that's quite amazing. And it's really due to the liquids prices and the capital efficiency, and I mentioned the liquids prices do add about $1.10, $1.15 right now on top of that $2.25, so really driven by the liquids prices. And so we'll continue to monitor those and really focus on generating free cash flow.
Jacob Roberts: Great. And a second question. We were hoping you could provide some commentary on the potential upside to volumes heading toward the Shell facility. And if that materializes, what it could mean for the product mix as we progress through this year?
Michael Kennedy: Yes. No, we're just assuming flat to last year. I mean our ethane guidance is around 70,000 barrels a day, and that's where we were at last year. That assumes Shell performs like it did last year, which is kind of in the low teens. So not really thinking about increased ethane volumes around that, and it's not material on the pricing. It's a Henry Hub-based price. So it's very similar to what we get if it remains in the stream. So we have a little bit of a volume tailwind if it performed better than last year, but not baking that in the guidance.
Operator: Your next question is coming from Roger Read from Wells Fargo. Your line is now live.
Roger Read: I'm going to come back to a question I asked in the last call in the third quarter and the charts here, Page 3 is probably the best example. Just continued improvements in D&C efficiencies. Looking at your past performances, right, 16 stages in a day, or the cycle times reduced to 122 relative to the averages for both, without asking can you achieve those best case scenarios on a regular basis going forward? What was the difference between, say, the average and the best performance? Is that a seasonal thing? Is it just good luck? I was just curious kind of the difference between the two and maybe help us think about how we bridge the gap between those two continuing D&C efficiencies.
Michael Kennedy: Yes. No. I mean it's really around pumping hours on the completions. And when we get above 20 hours a day, we generally hit 13, 14 stages. And when you hit the 16, it just hit just right pump maintenance on that day was much lower and your pumping hours were much greater. So that's really where it's at. And what was amazing in '23 as we started consistently hitting the high teens pumping hours and really consistently hitting 12, 13, 14 stages a day, and then you maybe have one day where there were some issues, but that would all culminate in an average of 11 stages per day, which compared to our prior average of eight to nine, and that's what was in the guidance was amazing. And then same thing on the drilling, we are drilling 2,000 feet greater laterals in 2024. So we do -- I think that improves. This already amazing drilling days per 10k improvements. So, we have gone from about seven days per 10k now down to five and that's continuing to drill longer and longer laterals that really helps those averages.
Roger Read: Yes, it's been amazing what everybody who's been able to do the way you all are leading in definitely impresses...
Michael Kennedy: Yes, we're up over 15,000 feet per lateral in 2024, which is by far our highest in the Company's history.
Roger Read: Yes. Well, one of these days we get gas prices to agree with us on the other side. And along those lines, what is the right way to think about use of cash going forward? Obviously, you should get the balance sheet where you want it this year, if it's not already. Once that's done, dividend, share repo, variable dividend, what is the way you want to think about the return of excess cash going forward?
Michael Kennedy: Yes. Like we said, first is continue to pay down debt. We paid down debt in the fourth quarter with our free cash flow, we'll do it with our free cash flow in the first quarter as well, get it down the credit facility. At year-end, had close I think it was $420 million, $430 million. So that would be the first use of our free cash flow. Then we have 2026 is in the $100 million range are all approximate numbers, but also kind of be included in that credit facility amount. So that kind of gets you down to the $1 billion debt level. And then once that's achieved, we said the majority of the free cash flow go to share buybacks. We tend to favor the share buybacks at these levels at these valuations. So that's kind of the order of the free cash flow use, pay down debt for the next $0.5 billion, call it, and then the majority after that goes to share buybacks.
Operator: [Operator Instructions] Our next question is coming from Nitin Kumar from Mizuho Securities. Your line is now live.
Nitin Kumar: I guess, certainly appreciate the work that you've done on improving capital efficiencies for 2024. If I could maybe delve into what does 2025 look like, right? So you had pretty strong momentum going into the end of 2023, you're reducing activity. Just trying to understand, without looking for guidance, what would the impact of this decline in activity have on your 2025 trajectory, if any?
Michael Kennedy: Not really, Andy, it's the maintenance capital level. When we think about maintenance capital, it's 3.3 to 3.4. We obviously outperformed last year with the completion efficiencies and cycle times. We are better than we had forecast. And so now that we've wrapped those efficiencies in our forecast going forward, it's very similar to this year, hold that 3.3 to 3.4 Bcfe per day in the $700 million range-ish.
Nitin Kumar: Got it. That's helpful. Paul, when you started the Company, you certainly targeted the LNG corridor and where we're strategic in sort of signing up for firm transportation to the market. Really good slide on the power gen market here. Any opportunities to link up with those demand centers with long-term contracts that could kind of certify your realizations?
Michael Kennedy: We've looked at those. They come with fairly hefty commitments. We've already made the commitments. And as you know, it's all that firm transport that we control and have for quite some time. So we've kind of achieved those prices through our firm transport commitments and think we will be the beneficiary of those. They will accrue to us. We're all spot pricing, we're not signing up for any Henry Hub type deals long term. We're just going to flow our gas down to this corridor and let people compete for it, and we'll see what the price is, but we think we'll realize a lot of that uplift without having these kind of international linked to pricing.
Operator: Our next question is coming from Neil Mehta from Goldman Sachs. Your line is now live.
Neil Mehta: Congrats on the improvement in capital efficiency and the guide. Just a macro question. I guess the first one is on propane. Can you talk a little bit about Slide 5 and what do you think has been the main driver of getting the inventories back to the five year. And as we think about propane markets, Asia continues to be really important and sometimes harder for us as an investment community to get visibility out there. So talk about how you think about China and Asia feeds into the propane ounces of 2024.
Justin Fowler: Yes, I think there a couple of things I'll talk about on the propane inventory level. I mean, one, there was a surprise adjustment from the EIA. They had -- really since mid-November, through, call it, mid to late December. They had a calculation error, so they were overstating propane inventories. So we got an initial nice bump there but better late than never and then as we moved into January, we continue to see the exports stay strong all of December and January, and we started to get some cold weather. We maybe had a call it, 1.5 weeks of cold weather, resulted in some production losses as well at the same time that demand was strong domestically and the export docks weren't affected. So I think that's what you see in that chart there is the December adjustment as well as a couple of good weeks of data in January. And now we're just seeing things trend very much in line with the five-year average. And so if that continues, we would expect to be call it, down to the 45 million to, call it, 48 million-barrel range at the end of withdrawal season. So I think that moving from the top of the five-year range to the five-year average, I think took the narrative from some of the barrels -- propane stocks were in dire circumstances. We didn't see that ourselves and pleased to see it play out the way that it ultimately did. On the international question, we used to have a slide in here that talked about propane going to China where it showed absolute demand kind of moving steadily up into the right, but utilization moving lower as they added big chunks of PDH capacity. And that's what we've seen happen. PDH utilization rates are down in the 60% to 65% range. Petchem margins in the East are low, which isn't surprising given all the capacity that has come online. But overall, absolute demand has continued to move up. And so again, we remain optimistic that with that amount of capacity in place, ready to be ramped up, should things improve economically, in particular, in China, they've not had things bounced back post COVID reopening as many of us thought they would. We think there's a lot of upside there, whether or not the U.S. will be able to supply it all instantaneously, I think is a function of if the Gulf Coast stocks can expand in time. We think of that call for demand is here in 2024. They probably won't be able to get all of it from the U.S., but we'll certainly benefit being out of the East Coast with our capacity. So that's the things we look at the most. There is ResComm demand growing globally. That's certainly stickier, harder to give you visibility on that. It's more -- over time, looking at things coming out of individual countries talking about initiatives or expansions of import terminals. But the big obvious things have been the Petchem expansions and those are real. They've resulted in higher demand despite the lower utilization rate just because they've turned on so much capacity.
Neil Mehta: Yes. That's really helpful. And then on the dry gas side, recognize your more liquid storage that you might have the most objective view on this, but we've been really surprised at U.S. production. It's great showing it month to date, close to 105 with 2Bs up in the Permian and 2Bs in Appalachia. What do you make of that? And do you believe this data and to the extent that U.S. production is surprising the upside, what's driving it? And how does it resolve its side?
Michael Kennedy: Yes. We haven't surprised -- we had slides out there thinking that after the 9 to 12 months kind of time period from when the rigs really started to drop last May, you'd start to see a response in production that's historically kind of the time frame that's required to work through that high rig count level. You haven't seen that yet. You actually saw the opposite. So that has been surprising to us. We're hoping that it's kind of one last push in gas production. You do historically see the rise in Appalachian gas during the winter months because that's when there's demand and then it falls off kind of heading into the shoulder season. So hopefully, that occurs and then you continue to see lower rig counts in the Permian and oil windows. So hopefully, that had some effect. But that's kind of the question, 105 Bcf market, it's not really a 105 Bcf market. So you'll see some shut-ins, either from lower activity levels or lower gas production from lower activity levels or shut-in during the shoulder season the balance of the market. So time will tell whether that 105 Bcf holds.
Operator: Next question is coming from David Deckelbaum from TD Cowen. Your line is now live.
David Deckelbaum: I just wanted to touch on -- good to hear from me guys. I wanted to just bring up the NGL growth into '24. And obviously, maybe there's some benefits on the ethane side. So I wonder if you could give a little bit of color on just the breakdown of what's driving that NGL growth because obviously, you're directing a little bit more activity to the NGL heavy corridor, but you're still looks like overall, completing around 10% fewer lateral feet this year. So is this a well-performance situation? Or is this really some of the incremental contribution from the ethane processing side?
Michael Kennedy: No. As we said, we're really just flat. I mean when you kind of look at it, David, I think we're up 2%. That's just continued focus in the 1,275 to 1,300 Btu corridors that continues to be more and more of our well count those type of wells. Your gas declining, I mean that's kind of the more of the story is we're allowing that gas to decline 3% but growing the liquids a little bit, that maintenance capital calculation. But you've kind of seen that last year when we grew in '23, it was really NGL growth. We grew 14% on the liquids and gas was only up 2%. So it's kind of just a natural outcome of really focusing on the 1,300 Btu type liquid wells and just letting the natural gas, the drier areas of our field decline.
David Deckelbaum: I appreciate that. I guess if there was a scenario where you were to get back to three rigs and two completion crews at some point in the future, would that inherently lead to just a greater gas mix in the portfolio? Or should we be thinking about the mix that you're looking at in '24?
Michael Kennedy: Not initially. We got the liquid inventory day for 10 years, after 10 years, yes, it would be dry gas. But for the next 10 years, this is a good kind of mix where we're at. So the three rigs, it was kind of similar outcomes to last year where you grow the liquids and probably the double-digit rains but the gas is flat.
David Deckelbaum: I appreciate that. And if I could just sneak one in. Just the reduced land budget this year, is that intentional restraint? Or is it just more limited opportunity after you guys were very successful there last year?
Michael Kennedy: No. I mean it's also a result of our completion efficiencies and development of -- when you have less wells that you're drilling each year, that maintenance capital decreases, like we said, it was down to $50 million this year. And last year, it was at $75 million to $100 million. So you do have a big land component where you're trying for the next two years' time, call it, really build up those working interest, build up the NRI, really focusing on that. So when you have less wells in that two-year period, you have less land. And then it's not the -- we are the consolidator of the liquids fairway in West Virginia. So it's very hard for anyone to come in and capture those locations other than us. We have the midstream like we said we have -- it's very contiguous. It's small in -- we're just going right next door and leasing these locations. So we're the natural consolidator. So those opportunities aren't less. It's just we have less wells over the next two years when you only running a few rigs and one completion crew.
Operator: Next question is coming from Kevin MacCurdy from Pickering Energy. Your line is now live.
Kevin MacCurdy: Congratulations on the well-received 2024 guidance. I just have one question, and it's kind of a follow-up to the gas macro question that was asked earlier. In your opinion, how do you think the gas markets get solved? Do you have an opinion of where or who will be shutting in gas production or where the production declines will come from?
Michael Kennedy: What should come from across all natural gas stations because at today's strip, I don't think there's many natural gas plays that are economic. You have to have liquids like we have to make any sort of economics in today's gas price environment. So I would say any basin that doesn't have liquids and also where there's a substantial basis and there's no real takeaway. So that's pretty much all natural gas stations right now probably should have less activity. So I think that will naturally occur because economics at the end of the day always went out. So I think that will occur. I think the liquids plays will continue to see activity. But if it's a dry natural gas play that's constrained, it's most likely going to have lower activity. And plus, as we go into shoulder season and whatever, you always see kind of economics dictating some shut-ins. So that 105 Bcf although on a spot day to day, seems like it's there. Over time, you'll see some occasional events or occasional events that will decrease that.
Operator: We reached the end of our question-and-answer session. I'd like to turn the floor back over to Brendan for any further closing comments.
Brendan Krueger: Yes. Thank you for joining us on today's call. Please reach out with any further questions. Thank you.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.